Kevin Lorenz: Good afternoon, ladies and gentlemen, and welcome to WashTec's conference call on the Q3 results 2025. My name is Kevin Lorenz, Investor Relations Manager at WashTec. And with me today, I have our Chief Operating Officer, Michael Drolshagen, who will provide an update on the current developments at WashTec and our Chief Financial Officer, Andreas Pabst, who will guide you through the results of the first 9 months. Following the presentation, the floor will be open for questions. [Operator Instructions] Of course, this call will be recorded and made available on our Investor Relations website. With that, I'm handing over to our CEO, Michael Drolshagen.
Michael Drolshagen: Ladies and gentlemen, thank you, Kevin, and a warm welcome to WashTec AG's earnings call for the third quarter of 2025. My name is Michael Drolshagen, I'm CEO and CTO of WashTec AG. Before my colleague, Andreas Pabst presents the figures for Q3 2025, I would like to present to you the most important recent developments. Let's start by looking at the general economic environment in our core markets, the U.S.A. and Europe. In Europe, we are seeing the first signs of recovery, but uncertainties remain due to geopolitical risks and protectionist measures. In the U.S.A., new tariffs and a weak dollar are making export conditions more difficult, while demand for capital goods remains stable. Due to the low level of exports to the U.S.A. shown in the last call, the risk for WashTec is low. General economic growth is suffering from the current trade barriers, which is also reflected in the lower market forecast for Europe and the U.S.A. for 2026. This means that WashTec's challenge going forward, such as subdued investment willingness. But given the current order backlog for WashTec, we remain positive. This is supported by our digitalization and sustainable technology offering, which gives us great opportunities for differentiation and growth. Let us take this opportunity to take another look at the core of our strategic orientation and where we currently stand, our house of strategy. Our increasingly smart products form the basis of our business model. However, we go far beyond this by bundling these products into modular tailor-made solutions that are precisely tailored to the needs of our customers. The focus is on the entire customer journey from the initial contact to long-term support. We offer complete solutions from a single source, machines, chemicals and software. With the scope configurator launched in Germany in August this year, we can now configure our products in the same way as a car and create bundles with chemicals and services. This not only makes the job of our sales staff easier, but also gives our customers greater transparency and streamlines the entire process from order creation to machine installation. In the coming months, we will roll out this solution to all markets and also integrate all our products. Our digital products enable intelligent payment and control systems, data analysis and performance optimization as well as customer loyalty through smart user guidance. We are clearly positioning ourselves as a solution provider with a focus on Europe and North America. But strategy is nothing without culture. That is why we focus on customer orientation, enthusiasm and personal responsibility as well as a corporate culture that motivates and supports our employees. Our strategy is brought to life by the people who implement it. And in order to be able to act quickly and empower our employees, we have defined and described 4 core areas to provide clear guidance for all employees into WashTec family. Clear statements for our employees and our organization, expectation management for our financial figures, lean processes and a clear customer focus. The framework is in place. Now it is up to the team to bring the strategy to life step by step. And as we can see today, we are already well on our way. A special milestone in 2025 was the completion and official launch of our new rollover machine, SmartCare Connect as well as our first and most important digital products in May of this year. With SmartCare Connect, we have created a digital solution that not only complements our product range, but also sets new standards in the industry. The market launch was extremely successful. We received very positive feedback from the market in the first few months after the launch. Our customers particularly appreciate its initiative usability, its intuitive usability, integration into existing systems and the wide range of options for data analysis and performance optimization. The system achieves top washing results with short washing times, especially when used in combination with our sustainable chemicals. The positioning of SmartCare Connect is clear. It is the digital heart of our new generation of washing systems and stands for innovation, efficiency and sustainability. With SmartCare Connect, we offer a solution that creates real added value for both large fleet operators and individual locations throughout the entire life cycle of the system. At the same time, our SoftCare SE remains a central component of our portfolio. It stands for proven quality and reliability. While SmartCare Connect focuses primarily on digitalization, smart networking and washing speed with washing time, SoftCare SE impresses with its robust and proven technology. Both product lines complement each other perfectly and enable us to offer the right solution for every customer. The first few months after the launch of SmartCare Connect confirm that we are on the right track. Demand is high, customer feedback is extremely positive and the market response shows that our strategy is spot on. We will continue to pursue this path consistently. Our efficiency programs are a key component in achieving our midterm target EBIT margin of 12% to 14%. Just to repeat our midterm targets, we are aiming for free cash flow of EUR 40 million to EUR 50 million, average revenue growth of 5% per year and a ROCE of over 28%. As just explained, the key levers with regards to our EBIT margin target are our efficiency program. These are the global scope configurator, cost reductions through modularization, quality improvement, optimization of the product footprint and reduction of installation costs. We will discuss these programs in more detail during our Capital Markets webcast on November 20. Our message is clear. We have had a very strong third quarter and are fully on track to achieve our targets 2025. For 2026, it will be crucial to focus on our further efficiency programs in order to realize this proportional EBIT margin growth by 2027. As part of our strategic goals, we are focusing on sustainable reductions in production costs, particularly for our SoftCare SE and SmartCare products. We see great potential here through complexity reduction, modularization and standardization as well as the harmonization of central components. We estimate a reduction in variant diversity of over 20% at component and module level, which will also have an impact on our supplier base and its consolidation. However, the effects here will be felt downstream. The goal is clear and is being pursued with enthusiasm, significant savings and further simplification of our product platforms by 2027. A key highlight of the current financial year is the successful rollout of our new digital products. Following an intensive preparation phase, we are already in the middle of the rollout phase with pilot projects. We have been able to launch our EasyCarWash PRO and CarWash Assist solutions on the market and gradually expand their introduction. EasyCarWash PRO and 4U and CarWash Assist are already in use in over 50 pilot facilities in more than 5 countries. Further pilot facilities are planned in over 7 countries and over 500 new facilities are planned for 2026. The feedback from our key accounts and from area sales is extremely promising. The rollout of our digital products is an important component of our growth strategy and sends a clear signal to the market. WashTec is shaping the future of vehicle washing digitally, networked and customer-oriented. Another important step we decided on is WashTec's new share buyback program. The Executive Board and Supervisory Board gave the green light on the 23rd of October. The program will start tomorrow on the 6th of November and will run until 4th of May 2026. A total of up to 100,000 shares or a maximum value of EUR 5 million can be repurchased. Why do we think this is a good program? First, a share buyback is a clear sign of our confidence in our own financial strength and the future development of our company. We have a solid balance sheet, a strong liquidity position. With the buyback, we are sending a signal to the capital market that we believe in the sustainable success of WashTec. Second, our buyback program increases the value of each remaining share, reducing the number of outstanding shares increases earnings per share. I will now hand over to our CFO, who will present the detailed financial figures and the performance of the individual segments. Thank you for your attention and enjoy the second part. Andreas, the stage is yours.
Andreas Pabst: Thank you, Michael. Also from my side, a very warm welcome. I really appreciate that you are all in our call today. Let's go directly to our results. I am pleased to present our results for the first 9 months of 2025 as the numbers speak for themselves, not only compared to prior year, but also in a 5 years perspective. We did very well, strong top line growth and outpacing growth of profitability. We achieved revenues of EUR 358 million, up 7.2% year-on-year, confirming the strong market demand especially in Europe. EBIT grew disproportionately by 17.4% to EUR 32 million, significantly outpacing revenue growth. This is the second highest EBIT in the last 5 years. Only 2021, the year after COVID showed a higher number here, which had a significant catch-up effect. Our EBIT margin improved to 9.0% compared to 8.2% last year. This reflects the success of our cost discipline and operational excellence initiatives, combined with a tailwind from higher revenues. Also, free cash flow rose by 11.2% versus the prior year to now EUR 28 million. This is mainly driven by optimized working capital management and higher net income. The free cash flow ratio of 7.8% is highest in the last 5 years. And if you now look at Q3 stand-alone, the figures are even more impressive. EBIT increased by 35.8% compared to prior year, and it even outpaced the double-digit revenue growth of 10.3%. Also on the long run, WashTec had never seen a higher increase in those numbers year-on-year. Overall, we achieved revenues of EUR 126 million in the third quarter with an EBIT margin of 11.8% or in absolute terms, EUR 50 million. So overall, in Q3, we are clearly on track according to our ambitions. Top line growth accompanied by an overproportional growth of profitability. As you see from this slide, we have a pretty strong top line growth in all business lines. It's a broad-based growth and a solid foundation of recurring revenue, meaning the sum of service and consumables, which now accounts for 47.5% of total revenue. Revenue from equipment grew especially in Q3 with 13.7% year-on-year. For the first 9 months of 2025, this results in an increase of 6%, reaching now EUR 184 million. Growth momentum in Europe and other segments successfully offset the subdued performance in North America, especially Germany and France continued their very strong performance also in Q3. Service revenue grew by 7.5%, totaling EUR 116 million. This improvement reflects our focus on process optimization, digital connectivity and expanded capacity. We hired additional service technicians and field service solution software. By September, we had approximately 13,000 machines connected, an increase of around 14% compared to year-end 2024, a clear indicator of our progress in building a digitally enabled service ecosystem. This will help us in future to grow our profitability even further. Consumables delivered the strongest growth, up 11% to EUR 53.7 million. Looking at the revenue share, equipment remains our strong or largest contributor at 51.2%, but recurring revenue, meaning services, which accounts for 32.5% and consumables, which accounts for 15% are catching up. Therefore, the recurring revenues are now up to 47.5%, last year's 46.9%. The revenue mix develops further to our goal of 50% recurring and therefore, higher predictable revenues. Let's now turn the perspective and take our segments into the focus. Our results clearly demonstrate resilient growth in Europe and other regions, while North America faced headwinds not only but also from currency effects. Revenue, Europe and Other segment increased by 10.3% year-on-year, reaching EUR 309 million. EBIT rose even more sharply, up to EUR 23.6 million to EUR 33 million, driven by strong revenue performance across all business lines. The EBIT margin improved to 10.5% compared to 9.8% last year. These results reflect execution and the benefits of our high capacity load in our production plants. Besides this, we work full steam on our efficiency programs and have already achieved important milestones this year, further to come. Nonetheless, we will see the full contribution of these efforts as planned next year or part-wise even in 2027. Despite that, we had some additional expenses related to corporate strategy and ongoing IT projects. Contrary, revenues declined in North America by 9% in the first 9 months. FX had some impact. On a U.S. dollar basis, revenue is down by 6.1%. However, operational performance stabilized in the third quarter, especially equipment revenues came back. Overall, North America delivered an EBIT of EUR 1.4 million in Q3, up from EUR 1.0 million in the prior year. With that much better Q3 result, the segment stands now after 9 months at breakeven. This gives me some optimism for the coming quarters. To visualize different influences on our EBIT, this bridge might be helpful. Due to higher revenues, we could book EUR 7.3 million additional gross profit and another EUR 3.1 million due to higher gross profit margin. The gross profit margin is now at 31.6% compared to 30.4% last year. This positive performance was mainly due to the increased business volume in Europe, as already mentioned, given in the current setup of our production plants and working close to the limit, and we are facing in some regions, installation capacity constraints. The product and the regional mix also supported this development. Contrary, we had higher selling and marketing costs resulting from higher outbound freight rates in connection with the revenue growth and of the expansion of our sales organization as well as from the launch of the new products. Higher administrative expenses are mainly linked to IT expenses for ongoing projects such as already named SAP investments and new software for the service optimization. In total, earnings before interest and taxes are up by EUR 4.8 million to now EUR 32.4 million. This results in an EBIT margin of 9.0%. Now some other important KPIs. In line with EBIT development, net income increased compared to last year, similar earnings per share. We achieved EUR 1.57 compared to last year's EUR 1.30. Our net financial debt of EUR 60 million is EUR 5 million above prior year's level. with credit lines of around EUR 100 million, unused by more than 50%, our financial position is quite strong. In respect of net operating working capital, we see more or less similar numbers by around EUR 90 million compared to end of September last year. Compared to the end of last year, which was at EUR 94 million, we are down by EUR 4 million. We are still cautious about investments, meaning after 9 months, we spent EUR 5.5 million. The main portion of those investments is linked to our North American production plant, where we bought some machines to strengthen our local production footprint and to our digital products and solutions. Our equity ratio is at 25.5% compared to 26.7% end of Q3 2024. But our balance sheet is still very solid and very healthy. In terms of employees, 85 more people work for WashTec compared to 1 year ago. The majority is hired for service. I already spoke about this one. Let us now debate a little bit about our order backlog. As usual, this slide doesn't give absolute numbers, but index numbers based on a 5 years view. In the first 9 months of 2025, WashTec Group did very well in terms of order intake, especially in Germany and France, we had a very strong order intake, whereas North America remained at prior year's level in euro and a little bit above in U.S. dollar. Especially in Q3, we saw here some progress. Consequently, this overall higher order intake results in higher order backlog, which is 20% over year-end 2024 and a comparable level compared to end of Q3 2024. Knowing about this good order backlog, we have some clarity on increasing equipment revenues in the next 6 months in all segments. This provides us with a solid base for the months ahead. Coming now to our guidance. WashTec confirms its guidance for the group for 2025 based on our current order backlog as well as progress of our initiatives. Especially the EBIT development in Q3 supports our guidance with regards to a disproportional increase of EBIT compared to revenues. We now expect revenues and earnings growth in Europe and other segments to be comparatively stronger and in North America, relatively weaker in local currency. But overall, we expect for the group, a full year growth of revenues by mid-single-digit percentage and a disproportionate EBIT increase in excess of revenue growth. Full year's free cash flow is expected to be in the range of EUR 35 million to EUR 45 million, and we also see improvement in our ROCE number. Summing up, we confirm our group guidance for 2025, and we look optimistic into the future. This forecast is based on the assumption that the current global trade conflict will not have any significant negative impact on investment behavior in the car wash market. Next slide, please. So before we start with the Q&A session, a quick reminder about our upcoming capital markets communications. Feedback we got from you after our first capital market webcast on July 10, we feel ourself-confirmed that this type of communication really adds some value. Therefore, we have recently announced to do our second capital market webcast on November 20. Currently, we are working on the details. But I can tell you that we want to explain in much more details what is the plan in future for our consumable business as well as some deep dive into our efficiency programs. These are essential part in our plan to achieve our midterm profitability targets. So we hope that you dial in. Straight after, we will be in November at the German Equity Forum where we can meet in present. We are looking forward to meet you there. So that's it from my side. Thank you for listening.
Kevin Lorenz: [Operator Instructions] And we already have the first question from Stefan Augustin from Warburg Research.
Stefan Augustin: My first question is actually on the very strong European margin. If I look at the recurring revenues, it's likely not a positive mix effect. So is this then driven by the efficiency programs? Or is that simply driven by the volume and load? That would be my first question. And from that one, I have likely a follow-up.
Andreas Pabst: Let me take this one, Mr. Augustin. Thank you for asking that question. So yes, you are right. In Europe, we are doing very, very well. And our gross profit margin is influenced by similar different topics. For sure, there is a higher revenue, which helps us there. The production load is better. And there is also a small contribution by better material prices, but also we see the first effects on the efficiency programs, not at a stage where we wanted to have them. That is what we have announced a little bit, but we see that they are also contributing.
Stefan Augustin: Okay. From that one, looking maybe into Q4 and taking your full year guidance, which implies that we have maybe a slightly lower or roughly the same volume in Q4 as the last year. If you have savings on the material side, gains, would it be fair to assume that on the European business, you should at least be able to get the same absolute amount of EBIT with the same volume?
Andreas Pabst: So indeed, yes, we are planning that we reach or achieve our guidance in total. We will be stronger in Europe compared to last year and weaker in North America. So if I look at the Q4 for Europe stand-alone, as you asked, I'm positive that we are doing here pretty well again.
Stefan Augustin: Okay. And then maybe a bit on the order intake. If I read your slide correctly, my assumption would be that we have a book-to-bill in Q3 that is very close to 1. And what it does not show me is the actual growth in the order intake Q3 year-over-year. Can you comment on that one?
Andreas Pabst: Yes, a very important topic, which is a regular bigger order, which we receive once in a year is related to North America, where we -- in the comparable numbers last year, we had from bigger customer, a great order in the figures. We did not have received this order this year, but we expect to receive it in the fourth quarter. So that is one part of the explanation.
Stefan Augustin: All right. And the last one, could you help me a little bit with how much the IT and other implementation costs have burdened Q3?
Andreas Pabst: It will come in future when its Q3 already. So it's -- the question is how much was it in Q3? So we are really -- we are facing the implementation of, for example, SAP S/4HANA is pretty expensive, and we started the program in beginning of this year and every quarter, it's a little bit more. So stand-alone in Q3, if you ask me right now, I would say it had cost us between EUR 0.5 million and EUR 1 million together with the other programs.
Stefan Augustin: Okay. And that one, you indicated it's going to go up a little bit going further.
Andreas Pabst: Correct. Yes. So according to the plan, which we see is that we will need next year for fully implement S/4HANA and some other IT programs as well. It's not only S/4HANA, but the plan is that we will have done this with the first 2 major steps until Q4 2026.
Michael Drolshagen: We do a lot of SAP S/4HANA has advantages that is driven by cloud costs, and we started in parallel to reduce the cost for cloud data storage that we -- with all our manpower and efforts to -- that you have only the data in the cloud in SAP S/4HANA that really need there and the others are still on-premise or somewhere else to have our costs under control in the IT sector.
Stefan Augustin: I don't want to spoil the upcoming Capital Markets Day, but I assume that, let's say, you skipped how much that could be in 2026. Would you be happy to share at this point or...
Andreas Pabst: Probably -- we will not give a detailed number for our introduction cost of S/4HANA. Probably that is too much insight, but we will give an indication about it, how we see it.
Stefan Augustin: Okay. And then finally, do you think -- would you describe yourself at this point also very confident to achieve your full year guidance with respect to sales?
Andreas Pabst: Yes. Simple answer, yes. We feel confident.
Kevin Lorenz: We have another question from Nicole Winkler from Berenberg.
Nicole Winkler: Maybe starting with a housekeeping question. In your report, you mentioned that all 3 business lines contributed to revenue growth in Europe in Q3. How about North America? Was it mainly driven by service and consumables again in Q3? Or do you already see the uptick of equipment sales?
Andreas Pabst: North America, that goes along with the story which we already said in Q2 about a major customer who places orders again. So what we now see in North America is that especially equipment in Q3 contributed here. But also there was not too bad in terms of service and consumables. But comparable to last year, the equipment topic was in favor for us.
Nicole Winkler: Perfect. Maybe this also goes along with this one big customer, but you also mentioned that contract negotiations in North America are finally finalized and order intake increased significantly. Now looking at the order backlog, you cannot see this yet. So basically, can you give us some more color here when we should see also these kind of orders coming in from big North American client in your order backlog?
Andreas Pabst: So I assume the client you are mentioning is we are confident with it. Yes, the orders are coming in. The order backlog is fine. The client I mentioned in my speech before is a different one, where we expect to get the orders in Q4 this year.
Nicole Winkler: Okay. Understood. Maybe also regarding the service revenue, can you give us some more detail in which amount the optimization of processes, the digitally connected equipment and increased capacity in this area contributed to revenue growth. What I would like to understand is because you mentioned it that now you have like, I guess, 13,000 connected units by now. Do they already contribute to service and consumable business?
Andreas Pabst: Yes. The more machines are connected the better we can work with the data, the better we can push the efficiency of our service business line. What is important for this year also, and maybe I just mentioned it somewhere in between the lines, we have hired throughout the year a lot of new service technicians. And you understand immediately that if you hire a new person, you need to train this person, you need to educate this person. So at the beginning, this person contributes to the top line, but not necessarily in the same amount to the gross margin. And what we see now is in Q3 that we are catching up here again, and we are in the same EBIT margin in service like we have been last year. And I think that is really something very positive, understanding how much new service technicians we have hired.
Michael Drolshagen: And it takes us 3 to 9 months currently to train them. And this is also where we work on to reduce our complexity that in future that they contribute faster to revenue and EBIT margin than it's today.
Nicole Winkler: Okay. Understood. And one last question regarding your shift of workforce from Germany to Czech Republic. Have you had any restructuring costs? And if yes, which amount in Q3?
Michael Drolshagen: We have cost because we have to train the people and we have some processes and people in parallel. How much it is, I can calculate it in my brain fast if you have the number.
Andreas Pabst: So the topic is that in the moment when we shift, we need additional people. So we need the people here and we need the people there in Czech because they have to train. But if your question is referring to severance payments or stuff like this, so we are really happy that we could do this and can do this without any major severance payments. So we are just using fluctuation. We are reducing temporary workers. And so as of today, and we are not fully through, but as of today, we do not have any significant severance payments.
Michael Drolshagen: You can calculate around 10 to 15 people in parallel for 2 to 3 months. And this is over 1 year time period. This is our extra cost here. We have calculated this in the savings and we hope that after the starting phase that the savings we gain that we can cover the extra cost in the following months.
Kevin Lorenz: And we have another question from Alexander Galitsa from Hauck Aufhäuser.
Aliaksandr Halitsa: I have a couple of topics, different ones. Maybe first one, just a clarification. You mentioned in your remarks that for 2026, you will be focusing on pushing forward the initiatives that are underway to prepare the company for disproportionate growth in 2027. I'm not sure if I heard it, maybe I misheard, but could you just clarify that should we read it in a sense that one should not necessarily expect disproportionate EBIT growth in 2026 or it was not that -- it was not meant that way?
Andreas Pabst: What I meant was that we will have still some costs with doing all those efficiency programs and that we will see the efficiency gains from those programs on a full year's perspective in 2027. And we really need to execute those programs and that they really kick in because in the Capital Markets Day and also Michael today repeated it again that in 2027, we want to achieve an EBIT ratio between 12% and 14%. So if you go from 2025 to 2027, I do not think that it will be a linear growth. So there will be a little bit of burden in 2026, but we will also grow in 2026, that's what I believe.
Aliaksandr Halitsa: Perfect. And maybe just a quick follow-up since you mentioned the range, 12% to 14% is obviously a big bandwidth. The upper end of this bandwidth, what would you say you need to achieve to get there?
Michael Drolshagen: We have calculated this already. Otherwise, we couldn't promise that we try to achieve it. So we need revenue growth in our segments. We think we can do this not only in equipment also in chemicals and service. And on the other side, we have really to focus on our bottom line. There is a lot of opportunity there. And if we do this in the right way, so reducing complexity by 20%, 30%, implementing our installation process in the next levels, which we are focusing on currently. And I think we are close to implement the next phase. We have some standard programs, how we want to achieve efficiency in the indirect areas. So if the growing is coming as we expect it, and it looks like in the order intake and we do our homework in the bottom line with our program, then I'm really confident that we can achieve that.
Aliaksandr Halitsa: Perfect. Then maybe briefly on consumables growth. I just wonder if you could somehow elucidate to what extent consumable growth is already driven by the bundling initiatives? And maybe what's the sort of natural progression in terms of time frame when those bundles are going to play a role in that regard?
Michael Drolshagen: We implemented the scope configurator just a few months ago. So there is not a lot of revenue and EBIT margin due to bundling in that area. So we expect more in that area 2026, but we have to roll out the system. We have to train the people and so on that the full scope we think we will get in 2027. So it's a step-by-step market by market. We started now in Germany with focus on Germany and now we go from the biggest markets to the smallest markets to get efficiency as early as possible, but this takes time. And we think full gain is in 2027.
Aliaksandr Halitsa: And you're generally confident that this would -- is getting traction within customers and there's not going to be a major pushback on the bundle offer?
Michael Drolshagen: We are deeply convinced that this will ease up the process and also for our customers that they clearly see what they order for what kind of money and what they get finally. And we can use and chemicals are driven by headcount as more headcount you put in the system as more you can achieve. And with that, we can also use our equipment salespeople in a better way than we have done it before.
Aliaksandr Halitsa: Understood. And then just 2 last topics I have. One is on equipment growth. I think you already mentioned that backlog gives you certain visibility. Could you confirm or is that reasonable to expect that equipment should be also growing year-on-year in Q4? Because I think you're kind of competing also against a strong base. But based on your backlog, is that a reasonable assumption that equipment should grow?
Andreas Pabst: Being a little bit cautious. Last year Q4 2024 was a pretty strong equipment quarter. We expect that this year will be on the same level like last year. But in equipment, you really have the topic that you are -- you do not have it always in your own hand if the revenue slips to the beginning of January 2026 or if you can make it in 2025. So our expectation is that we can repeat what we had last year.
Aliaksandr Halitsa: Okay. Perfect. And then very last one. I don't know how material this topic is, but there has been a press release from you some time ago on a partnership with Prag, I believe, is the owner of 100-plus petrol stations. And I think they've commented that they are delighted to have 30 of those stations digitalized. Just wonder what does WashTec get incrementally from a partnership like that? Will you start selling more services and consumables into this specific customer? Or how should one read that news flow?
Andreas Pabst: I think the most important thing here is that we are confident that our digital initiatives, they are accepted by the customer. And Prag is for sure, one of midsized customer where we tested if it works. And we got really positive feedback from the cooperation with Prag, and I think it's moving here in the right direction. I do not want to comment if we make now much more revenue or EBIT with one single customer. I think that is not here the place to speak about a single customer.
Michael Drolshagen: What we see -- probably in that direction, what we see in the data with our pilot facilities, not only with that customer is that we increase on our operator side, the number of washes per site. So this we see already with our pilots. And this is good news for our operators. And this on mid- and long-term run is a good news for our equipment sales, which is in a year's perspective, but it's also good for our service and equipment as more washes we have as more we have traffic here in that business. So this is what we see, and we have to support here that we have good numbers that we have a good app and good equipment installed and that we have transparent data available and can provide this to our operators and they set in place, the next step will come automatically.
Kevin Lorenz: We have no further questions.
Michael Drolshagen: Okay. Then ladies and gentlemen, on behalf of the Management Board, we would like to thank you for your interest in our company and wish you a pleasant day. Thanks.
Andreas Pabst: Thank you very much for joining. Bye-bye.